Operator: Thank you for standing by. My name is Novi, and I will be your conference operator today. At this time, I would like to welcome everyone to the Provident Financial Holdings First Quarter and Fiscal 2025 earnings call. [Operator Instructions] I would now like to turn the call over to Donavon Ternes, President and CEO.
Donavon Ternes: Thank you. Good morning. This is Donavon Ternes, President and CEO of Provident Financial Holdings. And on the call with me is Tam Nguyen, our Senior Vice President and Chief Financial Officer. Before we begin, I have a brief administrative item to address. Our presentation today discusses the company's business outlook and will include forward-looking statements. Those statements include descriptions of management's plans, objectives or goals for future operations, products or services, forecasts of financial or other performance measures and statements about the company's general outlook for economic and business conditions. We also may make forward-looking statements during the question-and-answer period following management's presentation. These forward-looking statements are subject to a number of risks and uncertainties, and actual results may differ materially from those discussed today. Information on the risk factors that could cause actual results to differ from any forward-looking statement is available from the earnings release that was distributed yesterday from the annual report on Form 10-K for the year ended June 30, 2024, and from the Form 10-Qs and other SEC filings that are filed subsequent to the Form 10-K. Forward-looking statements are effective only as of the date that they are made, and the company assumes no obligation to update this information. To begin with, thank you for participating in our call. I hope that each of you has had an opportunity to review our earnings release, which describes our first quarter fiscal 2025 results. In the most recent quarter, we originated $28.9 million of loans held for investment, an increase from $18.6 million in the prior sequential quarter. During the most recent quarter, we also had $34 million of loan principal payments and payoffs, which is up from $30.6 million in the June 2024 quarter. Currently, it seems that real estate investors have reduced their activity as a result of higher mortgage and other interest rates, although we continue to see moderate activity. Additionally, we are seeing more consumer demand for single-family adjustable-rate mortgage products as a result of higher fixed rate mortgage interest rates. We have loosened a few of our underwriting requirements within particular loan segments to encourage higher loan origination volume and decreased our pricing across our product lines as a result of lower current interest rate environment. Additionally, our single-family and multifamily loan pipelines are higher in comparison to last quarter, suggesting our loan originations in the December 2024 quarter will be higher compared to the September 2024 quarter and at or above the high end of the range of recent quarters, which has been between $19 million and $29 million. For the 3 months ended September 30, 2024, loans held for investment decreased by approximately $4.3 million when compared to the quarter ended June 30, 2024, with decreases in multifamily and commercial real estate loan categories, partly offset by increases in the single-family construction and commercial business loan categories. Current credit quality is holding up very well, and you will note that nonperforming assets decreased to $2.1 million on September 30, which is down from $2.6 million on June 30. Additionally, there were no early-stage delinquencies at September 30, 2024. We continue to monitor commercial real estate loans, particularly loans secured by office buildings but are confident that based on the underwriting characteristics of our borrowers and collateral that these loans will continue to perform well. We have outlined these characteristics on Slide 13 of our quarterly investor presentation, which shows that our exposure to loans secured by various types of offices is $41.3 million or 3.9% of loans held for investment. You should also note that we have just 2 CRE loans or $345,000 maturing during the remainder of calendar 2024 and 7 CRE loans or $3 million maturing in calendar 2025. We recorded a $697,000 recovery of credit losses in the September 2024 quarter. The recovery of credit losses recorded in the first quarter of fiscal 2025 was primarily attributable to a shorter estimated life of the loan portfolio, resulting from decreased market interest rates and higher loan prepayment estimates, a lower balance of nonperforming and classified loans and a slight decline in the outstanding balance of loans held for investment. The outstanding balance of loans held for investment at September 30, 2024, was virtually unchanged at $1.05 billion from June 30, 2024. The allowance for credit losses to gross loans held for investment declined 6 basis points to 61 basis points at September 30, 2024, as compared to 67 basis points at June 30, 2024. Our net interest margin increased to 2.84% for the quarter ended September 30, 2024, compared to the 2.74% for the sequential quarter ended June 30, 2024. The net result of a 12-basis point increase in the average yield on total interest-earning assets, and no change in the cost of total interest-bearing liabilities. Notably, our average cost of deposits was unchanged at 127 basis points for the quarter ended September 30, 2024, compared to the 9 basis points increase in the prior sequential quarter. In addition, our cost of borrowing decreased by 10 basis points in the September 2024 quarter compared to the June 2024 quarter. The net interest margin this quarter was negatively impacted by approximately 3 basis points as a result of higher net deferred loan costs associated with loan payoffs in the September 2024 quarter compared to the average net deferred loan cost amortization of the previous 5 quarters. New loan production is being originated at higher mortgage interest rates than weighted average -- than the weighted average of the existing loan portfolio, but adjustable-rate loans in our portfolio subject to repricing are now adjusting to lower interest rates in comparison to their current or existing interest rates. We have approximately $92 million of loans repricing in the December 2024 quarter at a rate currently estimated to be 50 basis points lower to a weighted average rate of 7.26% from 7.76%. We also have approximately $113.3 million of loans repricing in the March 2025 quarter at a rate currently estimated to be 99 basis points lower to a weighted average rate of 6.60% from 7.58%. I would point out that there is a tremendous opportunity to reprice maturing wholesale funding downward as a result of current market conditions, where interest rates have moved lower across all terms. Excluding overnight borrowings, we have approximately $69.6 million of Federal Home Loan Bank advances and brokered certificates of deposits maturing in the December 2024 quarter at a weighted average interest rate of 5.20%. Given current market conditions, we would expect to reprice these maturities to much -- to a much lower weighted average cost of funds. All of this suggests a continued expansion of the net interest margin in the December 2024 quarter, but possibly at a slower pace than that experienced in the current quarter. We continue to look for operating efficiencies throughout the company to lower operating expenses. Our FTE count on September 30, 2024, decreased to 157 compared to 158 FTE on the same date last year. You will note that operating expenses were $7.5 million in the September 2024 quarter, an increase from the $7.2 million per quarter stable run rate in the prior fiscal year. For fiscal 2025, we expect a run rate of approximately $7.4 million to $7.5 million per quarter as a result of increased wages and inflationary pressure on other operating expenses. Our short-term strategy for balance sheet management is somewhat more growth-oriented than last fiscal year. We believe that disciplined growth of the loan portfolio is the best course of action at this time as we recognize that the Federal Open Market Committee is recalibrating to looser monetary policy and the inverted yield curve has begun to reverse course. We were partly successful in the execution of the strategy this quarter with loan origination volume at the high end of the quarterly range, although the higher volume was offset by loan payoffs also at the high end of the quarterly range. The composition of total interest-earning assets reflected a decrease in the average balance of loans receivable and the lower-yielding average balance of investment securities. Also, the composition of total interest-bearing liabilities deteriorated slightly with a decrease in the average balance of deposits and an increase in the average balance of borrowings. We exceed well-capitalized capital ratios by a significant margin, allowing us to execute on our business plan and capital management goals without complications. We believe that maintaining our cash dividend is very important. We also recognize that prudent capital returns through shareholders through stock buyback programs is a responsible capital management tool, and we repurchased approximately 94,000 shares of common stock in the September 2024 quarter. For the fiscal year-to-date, we have distributed approximately $1 million of cash dividends to shareholders and repurchased approximately $1.3 million worth of common stock. As a result, our capital management activities resulted in a 119% distribution of fiscal 2025 year-to-date net income. We encourage everyone to review our September 30 investor presentation posted on our website. You will find that we included slides regarding financial metrics, asset quality and capital management, which we believe will give you additional insight on our solid financial foundation supporting the future growth of the company. We will now entertain any questions that you may have regarding our financial results. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Liesch with Piper Sandler.
Andrew Liesch: Donavon, you sound a little more constructive on originating loans. I guess how do you feel about the -- your lender base, is there any plans to hire more folks as you look to become more constructive? Or do you think you have a great team set up already?
Donavon Ternes: Well, currently, we have a good team set up. And in fact, we've been holding our teams back a bit for the past 18 months, call it, 2 years since the inversion of the curve and really haven't been growing portfolio. We've been wanting to maintain portfolio. And so, I don't think we're going to have a problem with execution with respect to the team of personnel we have in place. Although it is interesting right now, when we think about the current environment with respect to how aggressive some lenders have been -- have become with respect to pricing, mortgage, multifamily mortgage and commercial real estate mortgage products. So we obviously survey the market, and we have a service that also does this for us. And while our rates are about average to what the market is offering, we are still 80 basis points higher than the best rate in the market with respect to multifamily production. With respect to commercial real estate mortgage production, again, our mortgage rates are about average to the market, but we are 150 basis points higher than the best rate in the market based upon last week survey results. So there's a striking contrast in the market right now with respect to how aggressive some participants have gotten as it relates to their interest rates. We still think, however, that we can grow origination volume as we think about the December quarter.
Andrew Liesch: Got it. Very helpful. And then I'm curious if you have handy what the net interest margin was in September?
Donavon Ternes: September, it was 274 -- or net interest margin for September was 2.84%. It was 10 points higher than the June quarter at 2.74%.
Andrew Liesch: Okay. But then still kind of flat with the full quarter average spend?
Donavon Ternes: Yes. You missed for September -- the September...
Andrew Liesch: Sorry for the month -- I'm sorry. Yes, just for the month.
Donavon Ternes: Yes, yes, yes. For the -- for the month, it was [2.86%], I believe -- month of September.
Andrew Liesch: All right. That makes -- that makes a little bit more sense there. And then just on the buyback, with the stock where it is and kind of the growth plans, I guess, how do you expect -- how are you looking to manage that right now? Is the pace similar to this quarter or is faster than what it was all of last year? Just how are you looking at the pace of share -- share repurchases?
Donavon Ternes: Well, as you know, we begin our business plan each year with moving a cash dividend from the bank to the holding company that cash dividend at the holding company level is earmarked for stock repurchase and cash dividend activity. For -- at the end of September, we moved $9 million cash dividend from the bank to the holding company and that will support repurchase and cash dividend activity for the remainder of the fiscal year through June 30. And again, we're not in complete control of that in that we have a 10b5-1 plan where an agent really controls the activity as it relates to day-to-day repurchase.
Operator: Your next question comes from the line of Timothy Coffey with Janney Montgomery Scott.
Timothy Coffey : So you -- in your prepared comments, you talked about being able to toggle pricing to -- to produce more growth. Are you talking about the multifamily and commercial real estate aspects given that you are so much higher than the market?
Donavon Ternes: Well, I'm talking about all 3 of the major categories, including single-family. And in fact, if you look at the earnings release from yesterday and you look at the tables with respect to production volume, you'll see that single-family production volume was actually stronger this quarter and has been stronger the last few quarters with respect to multifamily -- or in comparison to multifamily and commercial. So we're really interested in all 3 of those verticals: multifamily, commercial and single family to increase our loan origination volume and we'll take the opportunity where we see fit as it relates to the best opportunity for us with respect to populating the portfolio.
Timothy Coffey : Okay. And then just looking at mortgage rates since quarter end, how the increase in those rates, how much of a headwind is that to your growth expectations?
Donavon Ternes: Well, it is a headwind in that mortgage rates are not as low as they were, call it, a month ago, they backed up a bit, but they are still lower than where they were a year ago. And in fact, we're still seeing increased refinance activity across the board in multifamily, commercial real estate and single family. And so we think there is demand out there with respect to refinance activity, and we can capitalize on that. But you're right, they backed up a bit from where they were a month ago, but they're still more favorable where -- than where they were a year ago.
Timothy Coffey : Right. Okay. Understood. And then just on the trajectory of deposit pricing. I mean -- the deposit betas for the company were exceptionally low, credit to really loyal deposit base you have. Where is the -- if there is opportunity to lower rates going forward, would you expect those rates to be low in the beginning of the -- of the rate cycle and higher towards the end? Or how should I think about that?
Donavon Ternes: So as it relates to our retail depositors, there's really no opportunity to reprice those deposits lower because, as you mentioned, our deposit beta was very low through the entire cycle. We really didn't match market rates in those retail deposit basis. Our opportunity with respect to repricing liabilities, growth FHLB advances and brokered CDs, are very opportunistic right now. And I'll give you an example. Today, we have $18 million of brokered CDs maturing. They are maturing at 5.30%. We are replacing them with a like amount of balance, and we are replacing them at 4.10%. So we are repricing those brokered CDs down by 120 basis points. And as I described on the call, in the -- or in my prepared remarks, in the December quarter, both FHLB advances and brokered CDs -- currently, we have about $69.6 million, call it, $70 million repricing in the December quarter. The current weighted average cost is 5.20%. We expect that we're going to reprice those down, call it, 100 basis points since rates have backed up a little bit. Additionally, in the March 2025 quarter, we have $85.5 million of FHLB advances and brokered CDs that will be repricing, and the current weighted average interest rate of that bucket of $85.5 million is 4.50%. So we expect we will also be repricing those interest-bearing liabilities down in the March quarter. So we still think we have a bit of a tailwind behind us -- or a bit of a tailwind as it relates to the repricing of our balance sheet, both on the loan side and the interest-bearing liability side such that we can improve our net interest margin, but maybe not at quite the pace that we saw in the September quarter, which was 10 basis points on a sequential quarter basis.
Operator: [Operator Instructions] Since we seem to have no more questions, I will now turn the call back over to Donavon Ternes for closing remarks.
Donavon Ternes: Thank you very much for joining the call this quarter, and we look forward to our conversations in future quarters. Have a good week. Goodbye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.